Operator: Good morning, ladies and gentlemen, and thanks for waiting. We welcome to Oi's video conference to discuss 2022 Second Quarter Results. The event will take place in English with simultaneous translation into Portuguese. Please be informed that this video conference is being recorded, and it will be available later on the company's IR website. During the company's presentation, all participants will be with their microphones disabled. [Operator Instructions] After the presentation, we will begin the Q&A session. Now I would like to pass the floor to Mr. Rodrigo Abreu, Oi's CEO. Please, Rodrigo, you can now proceed.
Rodrigo Abreu: Thank you. Good morning, everybody, and welcome to our Q2 2022 call. And as you all remember, last quarter, unfortunately, I could not present. But this quarter, we have the full team here with us participating in our Q&A session after the initial presentation. And I will then conduct the entire presentation. As we had anticipated many times, we know that Q2 was the quarter where we were able to finally close the two most substantial transactions of our transformation plan, the sale of the mobile and the partial sale of the InfraCo UPIs. And we know that there are still some M&A components to be addressed, such as the divestment of the DTH business we have formalized last quarter as well as some new possibilities, as we very recently disclosed in our intention to sell yet another block of fixed towers. But we know that Q2 marks the end of the most substantial transformation operations. With this, our Q2 numbers still reflect the company which is in transition as many numbers from the divested UPIs were still incorporated in the overall results, which in the future quarters will not be the case anymore. Starting in Q3, we will be able to focus on the new Oi numbers as they are, and there are still many changes and work to be addressed going forward. With that, let's look at the highlights of Q2 on Slide 3. As I mentioned in opening, our focus now turns to the core execution. Our financials still reflect the company transition. And after concluding the key M&As, we are fully focused on the core business. We know that some positive trends can be seen in Q2, and I will now comment on some of them. On the core revenues, it's good to see that the core of the new Oi is taking shape, and we are accelerating our core revenues as expected. The acceleration in FTTH net adds in May, June is starting to occur even with tighter credit policy, and we have a 26% increase in our ads versus April. We also have presented sustained strong ICT sales in Oi Solucoes with over 30% year-over-year growth. And overall, we presented a high growth in our core revenues, fiber and Oi Solucoes, which already represents 67% of the new Oi. Having said that, we know that the legacy impact continues high, and we will talk about it later in our presentation. On the cost front, this remains a top priority for us, and we continue to simplify our operating model. In the quarter, the routine OpEx reduction was of over 23% year-over-year due to both the mobile and V.tal cost-out and efficiencies, but we know that there is a potential for further savings to have in all areas, both the ones that went out as far as reducing our operating costs due to the detail on mobile reductions as well as in reducing costs in the core Oi overall. We also presented a new CapEx profile if we look at the new Oi CapEx with close to R$ 380 million. And this represents more than 80% to support growth and efficiency opportunities. And the key cost to be addressed here is to ramp down legacy costs, which will also continue to impact our CapEx profile. In terms of our CapEx structure, it's important to highlight as well that the overall numbers for the quarter still includes many of the CapEx profile that is going out with both mobile and V.tal. Talking about our capital structure. We know that after all of our transactions, there is substantial changes in our capital structure in terms of the debt reduction, which went down to R$ 16 billion as well as in the whole dynamics of the cash flow, which we will comment in more details in the specific slides. But it's also interesting to highlight that we still have some cash inflow possibilities for year-end '22, such as the R$ 1 million expected from the sale of fixed infrastructure side. And overall, on the cash fronts, the UPI inflows were very critical and financial debt was significantly reduced making all of that since the RJ plus BNDS. There's still now work to do on continuing to address the future debts, and we will talk about it. Finally, we have to continue with a strong emphasis on the concession arbitration and migration for the immediate future because the positive developments for both the arbitration and migration processes, which are expected for the next 18 to 24 months are critical to help the sustainability of the legacy business and thus of the overall company. I'll speak at those components in more details. And now let's start with the results profile in the Page 4. In Q2, even with the legacy challenges, the new Oi revenues grew slightly. There was a total revenue drop as we know, due to the UPI operations, which are now deconsolidated. But the new Oi presented annual revenue growth in Q2 and the new model with the reduced infrastructure investment helps to improve the cash flow profile. We see on the consolidated revenue that the profile keeps changing very, very significantly. We still have some discontinued revenues in the clip of R$ 500 million, and this is the remainder of our mobile, TV and V.tal revenues. But when we look at the new Oi revenues, we see that there was a slight increase of 1% year-over-year with a new Oi core of over 32%. And this is the part of the company that will continue growing the part that matters for the future, the part on which we are building the future sustainability of the company. Our OpEx, on the other hand, keeps going down, and our routine OpEx went down year-over-year over 23%. It's a significant reduction, mainly due to the discontinued operations as we will see further. But further savings also to come from additional efficiency initiatives also on the core side of the business. On the EBITDA front, our EBITDA profile will change as expected. We know that when changing from an integrated telco to a service company that uses infrastructure from a different company. And now fully focused on our customer operations, our routine EBITDA should change, and we should work as expected with an EBITDA margin, which is substantially different from the past. Our EBITDA margin for the quarter was in the range of 14%. It partially reflects the new business model with that. There is still some time ahead though to stabilize at the new run rate level upon which we know that there should be some EBITDA fluctuation during the next quarters until we get the run rates with all of the new costs account for and all of the new OpEx also accounted for. In terms of CapEx, as I mentioned in opening, the CapEx was greatly reduced. But we expect it to go down further yet. When we look at the overall CapEx, obviously, the overall CapEx still includes CapEx from the previous discontinued operations and focusing only on the new Oi CapEx, we see a R$ 386 million number. A split between R$ 150 million approximately for fiber and appliance, R$ 170 million for B2B and then still R$ 60 million approximately on legacy CapEx. With the changing model, we expect this number to continue to go down, obviously taking some time to adjust. Our operating trends will now be our full focus to monitor the traditional revenue, OpEx, EBITDA and CapEx numbers. And we are now focusing on bringing those metrics every quarter to understand how our transformation is now going in operational terms. Let's talk now about the revenue details in the next slide. So going to Slide 5, we see that in Q2, our core revenues outbalanced the legacy trends. And this quarter, even though fiber alone wasn't able to compensate entirely the legacy drop Oi Solucoes and new revenues helps to keep the core growth. It is still a small world, but considering the magnitude of all of the legacy revenue drops, it is a substantial achievement, which shows the potential of new Oi core. The new Oi core revenues grow at a high pace and they already represent two-thirds of our total revenues. The core revenues, excluding legacy, obviously is the future of the company, and they have presented as expected, a very significant growth rate. Additional new revenues are still a small contributor, as we can see, but now we receive a lot more focus to unlock our full potential and to continue offsetting the impact coming from all the legacy revenues which continue to decline. In the next slide, let's look at our fiber results in particular, knowing that fiber is at the core of our consumer strategy today. As we have seen in recent quarters, the competitive environment is a lot buffered. But even amidst this environment, our fiber revenues are growing strongly with improving net adds and a potential improvement in the macro environment that can occur in the coming months, in the coming quarters, can help us maintain a positive trend. It was yet another quarter with strong year-over-year growth with almost 40% growth in fiber revenues and a sequential revenue growth as well. And the fiber connections are sustaining this high growth through the evolution in homes connected. We are expanding our fiber connections in a selective way. And we know that net adds were smaller at the beginning of the year. But at the turn of the semester, we see a noticeable increase in the clip of net adds, and we expect net adds to be much better in the coming months. We are now getting close to four million homes connected. And this increase is occurring with an important reduction in churn as well. We can see even though we don't disclose with a lot of details here that the churn rates have increased at the beginning of the year, but they have come back down helped by our much tighter credit policies, which allows us to sustain a healthy growth. It's also important to understand our fiber performance in the context of the whole market as well. And in the next page, we can see what ARPU, and market share trends are to compare us with what's happening in the entire fiber markets. The first notice -- first thing to notice here is that ARPU increases are always challenging with tough competition, but it did occur once again in Q2. Our ARPU growth has been supported by our rational commercial strategy by the upselling of broadband speeds, and we also believe that there is a new potential for connected home services to keep this ARPU trends looking up. In terms of ARPU, we are now close to R$ 90 of ARPU, and we know that the key to that in the recent orders has been the growing speed of our connectors. Our new core offer is now 400 megabits per second, up from the previous 200 megabits per second, and our growth side, more than 60% of them are already coming from our core speed of 400 megabit per second, and we expect this percentage to substantially increase in the coming quarters as we gradually reduce our focus on the 200 megabits offer and put the full effort of our commercial actions on the 400 megabits per second speed. In terms of market share, even with a very tough market, as I mentioned, it's important to see that our market share performance continues to be really good to where we are present. And this is a number that when we look at it very closely, it shows that the potential to keep having very good results in fiber depends primarily on our ability to be there to compete. When we look at the FTTH market share in cities with Oi fiber, we see that this market share has been consistently increasing. In the second quarter last year, it was 30%; when we look at the second quarter this year, it's already at the 34% market share. This means that all of the municipalities where we are present with Oi fiber, we are gaining market share. Obviously, this is an average number, and there are areas with more potential than others. But it's important to see that the overall market share prices of Oi in the fiber markets is very consistent and obviously, accounting for the areas where we are present, in the areas where we are announced, we have the potential to be a full market leader in the entire market. Finally, as I commented in the slide, it's important to see that the ICMS change that recently occurred with a reduction in the ICMS or VAT rates for pretty much the entire country was really important, both to clients and to Oi. In terms of clients, it helped us avoid some planned increases that were already communicated to clients, while at the same time, increasing our ARPU and net revenue trends for the company starting in the third quarter. So finally, a topic that was very, very critical for the entire telecom market was addressed, and we now have an ICMS rate, which is consistent with the importance of the telco services for the entire country. It's also important to mention that due to the ICMS change there will be more competitiveness in our services, considering that in some areas in the past, there was a significant differential in terms of ICMS due to local incentives to small operations, which now become less relevant compared to where they were before, where the ICMS differential could be even in the range of 10 to 15 percentage points difference compared to other players. Now with a full focus on execution, we believe it is possible to further improve our competitive position in fiber, and the next slide gives a little bit of an overview of why we believe that. So on Slide 8, we can see that one of our new pillars is to evolve to be a completely customer-centric company as a service company should be and we have been developing a unique customer journey in fiber with a differentiated experience, which has the potential to bring additional ARPU opportunities. It is a full journey from the acquisition to the customer care, and it's worth highlighting some points of it. And the acquisition, we have been ranking very high in sales satisfaction with simpler options of a simpler acquisition processes, and we have been consistently improving in terms of customer ratings there. Also important to highlight that our e-commerce mix is growing fast, and we expect it to play a significant role in reducing our acquisition costs for the future. On the installation front, the differentiated installation with Serede, which is our wholly owned subsidiary is still a plus. And we can see that we have a close to 90% rating of current satisfaction with installation which is very important in a competitive environment where we know the details will matter. As far as usage, we know that usage metrics are very positive. We have been a top-ranked fiber operation for a number of years now. And in addition to having a very good base usage, we are now introducing new models for the connected home, in particular, with the technology such as [indiscernible] and STTR, this last one in which we are pioneers in Latin America to help increase not only the ARPU, but the differentiation of our offer compared to other plane fiber providers. And finally, in customer care, we have a goal of making the life of our customers easier with a digital-first approach, and in routes to become a fully digital company in customer care. So it is a full customer journey. We know that this should be at the center of our strategy, and we believe in our capacity to renew to obtain very good results from it. Next, let's look at Oi Solucoes as our B2B operation. And as you can see on Slide 9, our strategy here remains pretty much the same, but with consistent results. Oi Solucoes core revenues increased 4.5% year-over-year in Q2, backed again by strong ICT growth. And overall, revenues grew year-over-year with a 2.1% increase year-over-year, obviously, with a strong contribution from the quarter, as we mentioned. Our ICT revenues grew over 30%, and it's an acceleration compared to last quarter while telecom revenues were slightly down in here. We obviously know that there is an impact of legacy revenue still in Oi Solucoes as well. But overall, the strategy based on ICT continues to pay off. In the ICT highlights, some of the significant highlights include the increases in WiFi revenues with an almost 50% increase in managed services with almost 30% increase in security, which is a consolidated revenue line for us, which are over 50% year-over-year increase. Next, let's talk about the biggest area of potential for the new Oi. And here on Slide 10, we're talking about legacy, while we know that we are building a very solid and sustainable new Oi with the fiber and Oi Solucoes operations, the legacy and in particular, the conception still need to receive our full attention. We know that in terms of legacy revenues, there continues to be a very sharp decline front in the adoption of a focused efficiency strategy on our front. When we look at the revenue drops, it continues to be a significant number of 40% as compared to last year. And obviously, this has an impact in our overall numbers, not only in terms of revenue but also because while the revenue drops at 40%, we know that due to some regulatory constraints, it is nearly impossible to continue dropping the costs, the pure associated costs to legacy and concession dropping in the same speed. Because of that, we are working on both the operation and the regulatory fronts. We need to optimize our legacy operation under the current regulation by creating strategies to retain ARPU where appropriate by decommissioning unused infrastructure to reduce costs and by migrating customers from copper to alternative solutions, we have been emphasizing our work with wireless local loop solutions using wireless strategy, VoIP solutions for fixed voice customers and also considering additional strategies to minimize the cost of our legacy infrastructure. And in the same fronts, we believe that the STFC changes are urgent even before migration and many items could be addressed by ANATEL even before the migration discussion takes place next year and then 2024. For the mid and long-term, we know that the migration and the arbitration need to return to the picture to a sustainable one. And this also will be addressed in a future slide in terms of details of what we are doing there. Additionally, to all the work in the legacy and in the concession area, both from an operational and regulatory fronts, as I mentioned, we are also working on extracting value from all possible assets of the company. Starting with the divestment of DTH, which we have announced recently and are now waiting for formal approvals both on the judicial recovery judge as well as on the [indiscernible] fronts, which will come next. But we have also announced some new sale of assets in the positive transaction that was announced for our fixed towers. We are now in the middle of a competitive process to receive a potential additional cash chain of up to R$ 1 billion to be received either by year-end '22 or the beginning of '23, and then a potential of an additional R$ 600 billion to be received up to 2026. The important thing to mention here with this operation is that we are trying not to incur long-term preset financial obligations. And after 2025, when we expect the migration on the concession to be fully resolved, we will only commit to the number of towers effectively used to be adjusted with a significant potential reduction in the number of towers. And obviously, with this, not incurring in long-term nonproductive financial costs. We know that for this operation, there's still some approvals to come, especially the regulatory approvals, and we will announce the results of the competitive process as soon as it is finished. It's also important to highlight on a smaller node, but an important one nonetheless, that some of our subsidiaries have been gaining new life and new focus such as [indiscernible] our fully owned call center subsidiaries, which has close to 9,000 employees. And we have started a few quarters ago, a new strategy of focus on expanding the portfolio and capturing customers outside of Oi, and we are glad to say that very recently, last quarter, we were able to announce our first large contract with an outside customer. And it was a customer contract with Sky, which also follows the focus on commercial partnerships for Tahto with Oi Solucoes. So all in all, we're trying to extract value from all possible assets of the quarter. Talking about the assets of the company. Now let's look in the next slide with V.tal, which, again, no pun intended here, is V.tal for the future of Oi. And in the next slide, you can see that V.tal now fully independent continue to accelerate deployments in Q2, and it's forced to start reaping the neutrality benefits very quickly. In terms of homes passed, V.tal got close to 17 million homes passed already, the highest pace of all players in the market without a question. And this high pace of new homes passed will be also fundamental to the expansion of our Oi fiber operation as we can see in the number here of cartridge which already represents close to 20% of homes and SMEs in the country. As far as V.tal goes, there will now be a secondary payments offsetting obligations in '22 and '23. And in terms of disclosure, it's also important to say that V.tal has completed financing route for 2022. And due to that, will file for registration with CDN to be a Category B issuer, which without the question, we will bring a very good visibility to the market in terms of the results, and we know that this was a request from most investors in terms of following what was going on with V.tal given its importance to our whole Oi equation in the future. So repeating ourselves every time here, we are confident in V.tal's future not only as a stand-alone company, but as a key contributor to our plan in both operational terms as well as the financial aspect of our participation in V.tal. So next, let's talk about OpEx. In Page 12, we can see that Q2 was another important quarter in OpEx reductions with a 35% Rio gain to not only to initial mobile and V.tal cost out, but due to the continued efficiency initiatives we have been maintaining in the company. In terms of routine OpEx, all areas presented OpEx reductions. It was a 23% nominal OpEx reduction. But considering IPCA index, it was a real gain of about 35% reduction overall. Some highlights here in terms of personnel. Obviously, it's a little bit harder to see that for the consolidated numbers. But on the personnel front, we achieved a 10% recurring reduction, net of all of the restructuring costs that have been occurring even with an 8% inflation. There were reductions, important reductions as well in network maintenance, in third-party, in rent and insurance. And in general, the mobile and V.tal costs are key to reductions, were key to reductions, and there is more to come in the future quarters. Let's remember that while we have already completed the closings of both V.tal and mobile, we still have some cost components internally that were due to those previous operations that we now are ramping down. And as an example, we can say that we continue to operate share at the transitional services agreement due to the sharing of the operation with the Trio while we have completed all of the migration of customers from the previous Oi network to the new owners of the mobile net. Finally, we also know that we still have a large potential for cost efficiencies to be captured as we gain scale in the new fiber expansion model, and we continue to execute our efficiency initiatives to address the legacy operations. All of those reductions are super critical in annualized terms as it can be seen in the next slide, Slide 13. On Slide 13, we have mentioned that the cost base of the company after the M&A should be reduced to approximately 50% of the previous base, and we are almost there in real terms. In Q2, the savings capture in annualized terms represented a 44% reduction after inflation compared to the 2021 cost base. The only area of OpEx increase, as you can see there in routine OpEx, was actually due to a reclassification of a revenue reduction in the changing model. So it's not a cost increase in the revenue reduction that has now been reclassified. As far as our cost base evolution, now the focus will be on creating a new cost base even leaner for the new Oi, and our cost programs will continue as a very strong operational focus due to the perimeter change, but also due to process improvements in pretty much all areas of the company, including marketing and digital, IT and network efficiency, G&A naturally. And as I mentioned, in particular, the legacy journey around. So now let's look at the additional critical components for us, which are liquidity and debt. So on Page 14, we can see that after all of the operations of asset sales, net of post-revision recovery debt repayments, those operations contributed to -- with approximately R$ 5 million to Oi's cash flow during Q2 and not to the end of the year cash position. With this, it's important to understand several different components here as there is a lot of complexity from all operations, not only due to the M&As but also due to our management of the day-by-day liquidity of the company to occur during the course of the first two quarters of the year. In terms of cash flow, we point out, for example, to a one-off working capital adjustments after the M&A closes. We have been working to, obviously, preserve liquidity in the company while the operations were not closed with the cash-ins. And after the cash-ins, we obviously regularized our working capital payments in the clip of almost R$ 750 million, which helps explain some of the variations in the cash flow that we are showing. We also point out to some important contributions there in terms of what happened with CapEx for V.tal, which was partially compensated for the AFAC, which was the primary contribution that was advanced by BTG in the course of the first two quarters of the year. And then point out also the payments that we make to go on while the operation was not closed off rose to R$ 650 million that will now be reimbursed until the end of the period with the payment of the secondary proceeds to us. After all of that, the net proceeds after all that repayment led to the R$ 5 billion end of year. And virtually here, we have a R$ 3 billion contribution from mobile and R$ 2 billion contribution from the InfraCo. Obviously, on the debt fronts, there were significant reductions as can be seen in the next page. And in Slide 16, you can see that after the debt paydowns that we mentioned, net debt reached R$ 16 billion in the quarter representing close to 60% reduction in gross financial debt since the beginning of the judicial reorganization. As a financial debt recap that you can see on the left-hand side of the slide, starting from a R$ 49 billion gross debt at original amount in 2016, we can see that we ended the first quarter '22 with a restructured debt of R$ 33 billion. It's important to note is that as part of this R$ 33 billion on restructured debt in Q1 2022, there was a significant impact of FX since the original plan at the clip of R$ 8 billion. So this R$ 8 billion, obviously, impacts the overall debt phase of the company. It impacts the restructuring values that were originally planned. But then after the transactions in Q2, there was a significant reduction with the net debt getting to the R$ 16 billion. And this was done by paying, obviously, all of the post-fiscal debt with the bond 26, with the mobile bridge loan, with the V.tal convertible debenture after paying BNDS and [indiscernible] with R$ 4.7 million and also after covering all the interest FX and amortization of R$ 2.7 million in the period. So with that, we know that there is a significant reduction in the debt level but we still need to work in the deleveraging process, and we will be working on the capital structure of the company for, obviously, all of the quarters to come as part of the continuation of our transformation plan. In the next slides, we point as well to an important topic of discussion for the future, as mentioned, which is the regulatory environment and what's going on with both the migration and the arbitration, which are two very critical components for the sustainability of the company going forward. As we have mentioned several times before, we expect and not only expect but are working very intensely for the regulatory opportunities to positively impact Oi in the next two years. Starting with the lower part of the chart, we can see and now have received the publication of all of the public numbers for -- of the migration numbers that were disclosed by ANATEL recently. And this process is for the migration pointed out initially for us at a number of around R$ 12 billion in terms of compensatory costs or competitor investments to be held by the company in order to apply for the migration. We know that those numbers are extremely high. We have already officially challenged the numbers. We know and believe that there will be a significant discussion about many of the assumptions that led to this number, and we believe they should be significantly reduced. But we also know that the migration is important and consider the time line here, even though it seems longer with the potential impact on migration only occurring at the beginning of 2024. We know that the processes should be coordinated, and the top part of the chart should also be taken into account in this whole process. And we are, obviously, talking about our work in the arbitration. As a counterclaim, we also gave some initial publicity to partial numbers of the arbitration. It could be seen that our arbitration, some partial claims of our arbitration call for R$ 16 billion in arbitration claims which obviously, surpassed significantly stipulated migration fees. And we believe there are still more things to be discussed as part of the arbitration, given the very long period of impact that the company suffered with rules and regulations for the concession, which did not reflect reality anymore. We know that those two processes should be coordinated. We know that at the end of the process, there should be a neutral outcome for the legacy operation, bringing the overall legacy operation back to a viable position into even neutral or a slightly sustainable position. And obviously, this will be a full part of our work in our strategic work in all of the next immediate periods to come. Next, as usual, let's just look at some very quick ESG developments. We know that with all the changes, it's still important to remain a very solid ESG contributor, and this has been a daily topic of our discussions, in particular dose pertaining to the governance discussions of the company, and we presented during the quarter, advancements in pretty much all of the three fronts. On the environmental fronts, we continue to do a significant effort of equipment recovery. And on this after the transition to V.tal in a separate model will be further expanded. We also have launched our environmental management system. We have advanced in many areas related to emissions and climate change questionnaires. And in addition to that, we know that the environmental issue, especially with energy is also for us a potential source of OpEx reductions. On the social front, the Oi Futuro Institute has released this social balance, which was very positive as usual. And we have been continuing to focus very intensely on all of the initiatives to make Oi a very good place to work. In addition, one initiative that we would like to highlight was the launch of the Oi Zap for women in the last quarter, a very significant program to attract new programmers, new developers to Oi, in particular, women developers, which will help us construct the new Oi. There was also the launch of Orbital for educators, a very important program for educators contributing to Oi Futuro's initiatives. In the governance fronts, we launched our ESG portal, and we continue to advance in pretty much all of the governance metrics. So with that, let's go to Slide 18. And in closing, again, I would like to point out that Q2 2022 marks a real turning point in our transformation journey with the closing of the two large transactions. And as of Q3, we are now starting to fully operate on a new business model with a strong focus on the core executions. It has been a very long transformation journey. We know that we have very successful milestones as far as the UPI closings, the transactions, the financial debt repayments thus far, but we also know that there's still a lot to be done, and we are focused on making this a reality with very clear priorities for us from now on. We will focus on our business acceleration in particular, making the core Oi to continue growing heavily. We also know that we have a very tough regulatory agenda and the legacy business to address and to bring sustainability back to the company. We still have to conclude some additional asset sales, and we know that we will continue working on extracting the maximum potential value of all of our assets. We expect also an end of the JR supervision for as soon as the Judge's analysis is finished, and obviously, this will mark a new chapter for the company as well. And finally, with all of this consolidation, we will keep updating the markets to the post M&A impacts, and we plan to go on significant updates to investors with new metrics very shortly. So with that, I would like to close the initial part of our earnings call. And I would like to make an additional comment here. This quarter also makes -- marks a transition for us in terms of Investor Relations. Marcelo Ferreira, which has been our Investor Relations Officer for a long time now, is not with us anymore. So we would like Marcelo for all the very hard work that he did in helping us transform this company, and helping us communicate the entire transformation journey to investors and to the market. And Marcelo, obviously will continue to close helping us in a couple of additional projects. But with that, I would also like to announce Plaster with our new Director for Investor Relations. And Plaster is here with us. Plaster has a significant experience in the telecommunications sector is coming to us after several different experiences. And obviously, he will provide to us a significant asset in terms of market communications, and it will be available to all investors as our key point of contact for Investor Relations. So Luis and Marcelo, thank you, success in the new journeys. And obviously, we now count on the new improved Investor Relations agenda, given that we are now entering a new phase for the company as well. So that's it for now. And now let's go to the Q&A session. Thank you, everybody.
Operator: We will now begin the Q&A session. [Operator Instructions] Our first question comes from [indiscernible] sell-side analyst from UBS. We will now open your audio so that you can ask your question live. Please go ahead.
Unidentified Analyst: So hello Rodrigo and team, thank you for taking my questions. So I have two on my side. Could you please disclose the R$ 388 million EBITDA, if some commercial costs related to V.tal are already included? And just to have a better understanding on how margins are going forward. And if I may allowed a second question on the leaseback agreement with them, do you have more details on the rent costs of Oi? Thank you.
Rodrigo Abreu: Thank you, Lucas. Well, as far as the EBITDA that was disclosed, it already includes a partial cost of V.tal because if you remember, we had the closing of the transaction in the middle of the quarter. And as such, there is yet some cost components to the end of the year. But there are some components of the cost, which V.tal already included approximately a month of cost V.tal already included there. As far as the leaseback costs. We are now in the middle of a competitive process. So it's impossible to highlight any additional numbers because as you know, for all asset sales, we have to do a competitive process, and that's what we're doing with the towers. We have now a competitive process in place, and we expect additional -- potential additional proposals for the sale of the fixed towers. And only after the competitive process is concluded, we can then provide any details about what will be this transaction if and when it is approved, and the final proposals are considered.
Unidentified Analyst: Okay, thank you. Very clear.
Operator: Perfect, then our next question comes from Guilherme [indiscernible], sell-side analyst from BTG Pactual. We will now open your audio, so that you can ask your question live.
Rodrigo Abreu: Guilherme, are you here?
Luis Plaster: I believe his mic isn't working, but I would like to read his question. He likes to know a little bit more about the -- perfect then. Okay, perfect then.
Rodrigo Abreu: We can hear you.
Unidentified Analyst: Sorry, good morning. So that is just two questions. The first one is, I would like to know a little bit more about the cash work coming from working capital. What were those non-incurring effects above M&As? And how can we expect the short-term EBITDA margins now on, like you are going to pay in the full-quarter for V.tal's infrastructure. Is there a chance or can you expect positive margins in the next couple of quarters?
Rodrigo Abreu: Let me pass your question here, Guilherme. Thank you, let me pass your questions to Cristiane, our CFO, and then we can come back in case of additional questions. Let's go.
Cristiane Barretto Sales: Hi, Guilherme, thank you for your question. Regarding the cash consumption on working capital, we've been talking to you in the last quarter to the market in general that we've been making some cash management while we were waiting for the cash of the asset sales. And in this quarter, we did not make any cash management, we just put all the payments on track. So we had a negative impact of putting these payments on track this quarter. And that's why we had this size of cash consumption in the working capital. Regarding the margin, the second question, we are not giving guidance right now. We -- like Rodrigo said in the presentation, we're going to be making our Investor Day probably in September, pretty soon to give you some information about the next three years and some guidance on margins on EBITDA and comparing that target to the representative market in last year in July of 2021.
Unidentified Analyst: Okay, that is certainly perfect, thanks. Thank you.
Cristiane Barretto Sales: You're welcome.
Luis Plaster: Hello, there is one question from an investor that says if the company has future objective to acquire small FTTH providers in strategic regions to accelerate fiber growth.
Rodrigo de Abreu: Thank you, Luis. We -- as I disclosed, we know that there's still significant opportunities for us to increase our homes connected base by just using the additional fees that are being built by V.tal. But we do not discard the possibility about looking at alternatives and opportunities for looking at the market, which will continue to be in a market where consolidation will be a factor. Obviously, our most significant effort is on our organic growth without a question. But this is not discarded. We now are entering a new phase of the company and obviously, the analysis will be done if and now when an opportunity of this type for us.
Operator: Perfect. [Operator Instructions].
Luis Plaster: Okay, so the next question from an investor is are the numbers of this quarter already reflected in the balance sheet after the recent renegotiation included in the recurring debt numbers?
Cristiane Barretto Sales: Yes, thank you for the question. Yes, it's all included. And if you have any questions about from understanding the balance sheet where the numbers are, we have comparisons on the current liability and another product in the long-term. So if we need any additional information, please talk to our IR team, and you can help us understand why the figures are on the balance sheet.
Operator: [Operator Instructions] Okay, we don't have anyone else on the line to ask questions. So please, Rodrigo, I think, you can now proceed to your final remarks.
Rodrigo Abreu: Thank you. We know it has been a very short time since our last earnings call, and there are still many things to be understood given the complexity of all of the announcements and all of the numbers that were presented. But once again, the good thing is that we now have gone into the normal schedule of making our earnings calls, so this will be the same next quarter. And also with the new IR Director, as we mentioned, we both the company at the disposal of investors for additional questions that we know might come up in the following weeks. And as usual, we remain very committed with keeping the market in form whenever it makes sense. So all in all, thank you very much with -- again, with the participation of the entire team, and I'll see everybody in the next quarter's call.